Operator: Hello, and welcome to the Douglas Dynamics Fourth Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] I would now like to hand the call to Nathan Elwell, Vice President of IR. Please go ahead.
Nathan Elwell: Thank you, MJ. Welcome everyone, and thank you for joining us on today's call. Before we begin, I would like to remind you that some of the comments that will be made during this conference call, including answers to your questions will constitute forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include among others matters that we have described in yesterday's press release and in our filings with the SEC. Joining me on the call today is Bob McCormick, President and CEO; and Sarah Lauber, Executive Vice President and CFO. Bob will provide an overview of our performance followed by Sarah reviewing our financial results and guidance. After that, we'll open the call for questions. With that, I'll hand the call over to Bob. Please go ahead.
Bob McCormick: Thanks, Nathan, and good morning everyone. Today I wanted to talk briefly about the fourth quarter 2023. As you probably saw, our detailed pre-release last month and the release yesterday evening. But more importantly, I'd like to focus on 2024 and a bright future I see for Douglas Dynamics. The main drivers of our fourth quarter performance were a continuation and expansion of what we had previously discussed throughout 2023. Work Truck Solutions performance was the highlight of the fourth quarter and 2023 in total. Their strong Q4 completed calendar year where they met their financial targets, improving EBITDA margins each quarter over prior year performance. I want to commend the solutions team for their dedication and performance. And I'm pleased to say, we expect continued improvements throughout 2024. The improved solutions performance, however, was overshadowed by weather driven challenges in the attachment sector. Following two years of excellent results in attachments, the weather really impacted performance in 2023 and was the reason our results came in well below our expectations. We've been in the snow business for 75 plus years. And while we've seen our share of poor snowfall seasons, we've never seen back-to-back seasons of this magnitude. The first quarter 2023 was impacted by the end of the 2022-2023 snow season with record low snowfall in the East Coast. The fourth quarter 2023 was impacted by the start of the current 2023-2024 snow season we saw very low snowfall across the entire snowbelt with snowfall totals that were barely 70% below the 10-year average. As a result of these unprecedented weather patterns, there was a record 700 plus day gap between measurable snowfalls and important East Coast markets. This resulted in the lowest fourth quarter order activity we've ever seen signaling that the equipment replacement cycle has lengthened to a point where it will take more than one snow season to return to an average demand environment. And as many of you know we are accustomed to rapidly adjusting our spending and production levels because of the influence of weather. We have limited the low snowfall playbook in early 2023 and pulled a record level of short-term cost savings numbers. When fourth quarter snowfall came in well below historical averages, we determined that we needed to take more aggressive and permanent cost reduction measures to align our cost structure with current demand trends, which we call the 2024 Cost Savings Program. Sarah will discuss the details later. But in summary we expect $8 million to $10 million in annualized savings. Frankly, these are some of the hardest decisions we've had to make in our careers, but they were the right moves for the long-term financial and operational health of the company. I'm so proud of our leadership teams for how they have responded in this situation. They acted swiftly and the size. What's even more important is that while making these decisions, they never lost sight of our key long-term growth initiatives, ensuring that we stay focused on protecting and growing not only our market share, but are competitive advantages in the market. From a weather perspective, we have seen a mild El Nino pattern in the first quarter, which is not as strong as we hoped for. I am glad to say that weather conditions were stronger in January with snowfall totals above average across the snowbelt. In fact, we set a record for parts and accessories orders in the month of January which is a good sign. In early February, we saw the first nor'easter in two years. Having said that, the back half of February has been pretty quiet, while the winter weather season isn't over yet. At this point, it seems like we will finish the season with below average snowfall totals. On a more positive note, while our dealer checks at the end of January confirmed inventory levels remain above the five-year average, they have begun to moderate so they are starting to come down. I'm pleased to say that both dealer sentiment and financial health remain positive. Lastly, we are gearing up to launch some exciting new products at the NTEA Work Truck Show in Indianapolis in a couple of weeks, more to come on that topic next quarter. So there is no doubt, it's been a difficult year in the attachments group. But as always, we'll exit this environment stronger, knowing our team will be ready to drive profitable growth again when conditions allow. Let's turn to work truck solutions for the 2023 story has been much more positive. The solutions segment completed a strong finish to 2023 delivering on its goal of mid single-digit EBITDA margins. Again, we want to thank our agenda and Henderson teams for driving higher volumes through their upfit centers and improving the baseline profitability of their businesses. Our recent performance bodes well for the coming year, especially as overall demand remains positive and we still have a strong backlog to work through. All at all, on good year-end solutions and verticals. So as we look to the future, what do we see? First, we see a solutions segment that is building that momentum generated by various profit improvement objectives 2023. 2024, we're focused on driving revenue and not chassis channels, penetrating new markets with new product introductions Additionally, our focus on internal profit drivers continues, driven by product redesigns, sourcing improvements and DDMS continued improvement initiatives on the shop floor and in our upfit centers. From a chassis perspective, we expect to see some impact from the UAW strike in the first quarter of 2024, which had been taken into account with our guidance. Overall, we are not projecting significant near-term improvements in chassis supply. We do enter 2024 with strong backlogs. If chassis supply does improve during the year, we're poised to move increased velocity through RPM. Second, looking at the attachments. While the lengthening replacement cycle will impact demand in attachments this year, the team has repositioned itself to manage through these conditions staying focused on factors we can control. These include the 2024 cost savings program, new product launches and baseline profit improvement projects that our teams were so successful with in 2023. Our people are using our DDMS continuous improvement mentality to produce creative solutions, improving our operations in the near term and providing considerable benefits over the long term. Looking ahead at M&A opportunities. Our near-term focus is on the Attachments segment, searching for companies with complex products that need to be professionally upfit out to work turns. We are starting to expand the parameters of our search to include a broader range of companies in certain sectors. Having said that, our criteria for potential acquisition candidates remains intact. It must have strong brands, have significant potential for growth and would be a good cultural fit with Douglas. We will maintain our disciplined approach but we always tried to look ahead and see around corners. To be clear, we are not looking to pull the trigger on any deals in the near term. It's important that we have the right strategy and targets in place, which will allow us to execute when our balance sheet is back to normal, and we have multiple financing options to consider. Finally, let me say this. We've navigated through some tough external headwinds in recent years. It's situations like this that really test the strength of your leadership teams. Quite frankly, you find out what you're made of. I couldn't be more pleased with how our teams have responded in this environment, finding creative solutions to difficult challenges. Our continuous improvement and getting better every day mentality has shown themselves like never before. The main benefit of navigating through difficult circumstances is that allows us to take a step back, challenge what we do and how we do it, and find a way to find ways to improve. Trust me, ladies and gentlemen, we will emerge from these challenges stronger, smarter than before. With that said I'll hand the call to Sarah.
Sarah Lauber: Thanks Bob. Now the simple story for 2023 was that work Solutions produced significantly improved results, while Work Truck Attachments was hindered by unprecedented weather trends. Clearly, 2023 did not unfold as we expected but collectively we made the right decisions and implemented the right policies to adapt to these unusual challenges successfully. I want to thank our teams for stepping up, identifying issues and more importantly, finding solutions as we manage through the year. With that said, let me walk through the numbers for you. On a consolidated basis net sales were $568.2 million for the year compared to $616.1 million in 2022. The approximate 8% decrease was due to low snowfall, impacting volumes and attachments, which was partially offset by higher volumes and better price realization and solutions. Gross profit of $143.3 million or 23.6% of sales compared to $151.5 million or 24.6% last year, as the impact of lower volumes and higher margin attachments segment negatively affected our mix. SG&A expenses including intangibles amortization decreased 3.6% to $89.4 million for 2023 compared to $92.7 million for the prior year. The decrease was primarily due to lower incentive-based compensation and the impact of curtailing spending as part of our low snowfall playbook. Adjusted EBITDA for 2023 was $68.1 million or 12% of sales compared to $86.8 million or 14.1% of sales in 2022. We remain focused on improving EBITDA margins and solutions made significant improvement in the year. Interest expense increased to $15.7 million for 2023 compared to $11.3 million in 2022, due to higher interest on our revolver of $3 million based on higher borrowings and higher variable interest rates compared to last year. Our combined tax rate for 2023 was 18.9% compared to 18.5% for 2022. Both rates are lower than typical with the 2023 rate being impacted by a tax benefit related to the purchase of investment tax credits and then 2022 raising impacted by a discrete tax benefit related to state income tax rate changes. Net income for the year was $23.7 million compared to $38.6 million for 2022, again due to low snowfall in the first and fourth quarters of the year impacting volumes and attachments, which was partially offset by improved performance and Solutions. Now let's look at the results from the two segments. Net sales at our attachments segment were $291.7 million for 2023 compared to $382.3 million in the prior year. The significant decrease was due to unprecedented low snowfall in our core markets during that 2022 and 2023 snow season and the beginning of a 2023 2024 snow season. This translated into adjusted EBITDA of $50.6 million or 17.3% of net sales for 2023 compared to $78.2 million or 20.5% of net sales in 2022. The severe lack of snowfall and its impact on demand led us to implement the previously announced 2024 cost savings program, which focused on both attachments and corporate functions primarily in the form of headcount reduction. We expect the program to produce annualized pre-tax savings of $8 million to $10 million, with 75% of the savings expected to be realized this year and $2 million in pre-tax restructuring charges primarily in the first quarter. The story was more positive at Solutions. 2023 net sales increased 18% to $276.5 million, when compared to the prior year, due to higher volume on improved chassis availability and improved pricing increase realization. In the fourth quarter of 2023, we began to see the significant improved -- improvement and pricing actions on our longer term municipal contracts, which we took to mitigate the inflationary factors experienced over the last couple of years. The impact of higher volumes and pricing improvements fell through to adjusted EBITDA, which more than doubled from $8.6 million in 2022 to $17.6 million in 2023. In all four quarters of 2023, Solutions delivered margin improvement, compared to the previous year and delivered mid-single digit EBITDA margins for the year making progress towards our long-term margin target of double-digit to low-teen margins. As we previously stated, we're still assuming that chassis supply in 2024 will be similar or slightly better than last year, but we don't expect dramatic improvements. Finally, we entered 2023 with $296 million of backlog, compared to our record $369 million a year ago. Although not a record, the current backlog is still well above the 10-year average and reinforces our positive outlook for Solutions for 2024. Now let's look at our balance sheet and liquidity. Net cash provided by operating activities was $12.5 million for the year, compared to $40 million in 2022. The decrease was due to a $3.3 million reduction in earnings and $24.2 million in unfavorable working capital changes, due to an increase in cash used for accounts payable which was related to the timing of supplier payments. These working capital changes in the year resulted in free cash flow of $1.9 million, compared to $28 million in 2022. Accounts receivable at the end of the year were $83.8 million $3 million lower than 2022. Inventories were $140.4 million at year end, slightly higher than the $136.5 million at the end of 2022. Compared to last year, we ended 2023 with higher levels of snow and ice control equipment inventory, due to the lack of snowfall in the fourth quarter, while Solutions made progress in reducing their inventory levels that have been elevated due to long lead times and chassis delay. Turning to capital allocation, we paid our dividend of $0.295 at year end. We announced today our first quarter 2024 dividend, which is unchanged from last quarter. While the dividend remains our top capital allocation priority. Our aim is to continue our track record and increase it again when conditions allow. At year end our total liquidity comprised of approximately $24 million in cash and approximately $103 million of borrowing capacity on the revolver. Net debt of $212 million at year end compares to $187 million at the end of 2022. And our earnings are reflective of historically low snowfall trends. We are comfortable that our year-end net debt leverage ratio of 3.5 times is above our targeted range temporarily and will return to our targeted range as we return back to average demand in Attachments. As you saw in our press release, we amended our credit facility by increasing the leverage ratio to provide us more financial flexibility in the front half of the year. We are confident that we will be able to manage the balance sheet and pull levers we need to so that we are operating within our credit facility guidelines in the back half of the year. Capital expenditures for 2023 totaled $10.5 million, $1.5 million lower than 2022 as we curtailed certain investments as part of our expanded low snowfall playbook during the year. While we expect our 2024 CapEx to be higher than 2023, we will be on the lower end of our range of 2% to 3% of revenue and we will be prudent with timing of the investments as spending will remain somewhat constrained as part of our 2024 Cost Savings Program. Now, let's turn to our outlook. As you saw in the release, we expect 2024 net sales to be between $600 million and $660 million. Adjusted EBITDA is predicted to range from $70 million to $100 million, which would produce adjusted earnings per share in the range of $1.20 to $2.10 per share. The effective tax rate is expected to be approximately 24% to 25% The adjusted EPS range of $1.20 to $2.10 indicates growth over 2023 results. This is driven by continued ongoing baseline profit improvement, the implementation of the 2024 Cost Savings Program and projected higher volumes in attachments. Solutions enters 2024 in the best position since before the pandemic with continued positive demand and backlog trends combined with improved operating performance. The largest assumption of our 2024 guidance relates to the replacement cycle of snow and ice equipment in the field. Given the unprecedented weather patterns experienced in our core markets, the equipment replacement cycle for attachments is elongated. We are assuming approximately half of the weather-driven volume decline in 2023 will be recovered in 2024, assuming we see a return to average snowfall in the fourth quarter. When we enter our preseason ordering in April, we will have further indications on this assumption, and I plan to provide an update to our guidance with our first quarter call, if we find orders are trending up or down at that point. When we look longer term, our segment financial targets remain consistent. For Attachments, we believe we can deliver low to mid single digit sales growth and adjusted EBITDA margins in the mid to high 20s. In 2024, the 2024 Cost Savings Program alone is expected to drive Attachments adjusted EBITDA margin back close to 20% with further improvement to margins as we progress through a multiyear return to average demand. For Solutions, we expect to maintain mid to high single digit sales growth in 2024 along with continued improvement towards low-double digit EBITDA margin. The improvement expected in 2024 is driven by continued success on baseline profit improvement, and greater price realization, and keeps us on the path towards double digit to low teen margins over the longer term. It's worth noting that our outlook includes underlying assumptions such as relatively stable economic conditions, stable to slightly improving supply of chassis and components, and that core markets will experience slightly below or better snowfall in the first quarter of 2024 and average snowfall in the fourth quarter of 2024. Despite the recent weather-driven challenges, we remain focused on the profit profiles of our 2 segments. We will continue to make the baseline profit improvements needed to meet the long-term potential of these businesses. With that, we'd like to open up the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Mike Shlisky with D.A. Davidson. Please go ahead.
Mike Shlisky: Hi. Good morning and thank you. Maybe some comments you made on the dividend. So I wanted to clarify you mentioned you were holding back on making the decision about increasing the dividend for 2024? And is it the same chance that you would increase as well as cut or a coating that there's just not a table that's going to be flat or up is your current thinking?
Sarah Lauber : Yes. Good morning, Mike. You know certainly we've always talked and that has not changed that the dividend is our number one priority and we have strived to increase and have a sustainable dividend for years now. And we've had many years of increasing. We believe the dividend is absolutely sustainable at this point. All of our plans for the year includes that dividend and we expect that to continue.
Bob McCormick: Yes. I'll just I'll just jump in there to reiterate what Sarah said Mike. This public company thesis for Douglas Dynamics was launched 14 years ago with the dividend being front-center. That hasn't changed, okay? While it's prudent not to increase it as we navigate through this weather environment. It is still the number one priority and our business model is built around protecting it and delivering it every quarter.
Mike Shlisky: Okay. Got it. I've also had a quick housekeeping and about the guidance. In the press release, you kind of have two different centers about EPS. And I wanted to just kind of square up that together and also what you provided back on January 30th. So you mentioned $1.28 to $2.10 of adjusted EPS in dollars, but then growth of 50% to 100% also which would suggest $1.50 to $2. And then you said that you were 7% to 8% back on January 30th. So I'm not really sure they're kind of in the same range more or less but which one is the most appropriate one for us to look at?
Sarah Lauber: Yes. That's a great question Mike. So the guidance ranges we typically give at $1.20 to $2.10 that encompasses low snowfall potentially in the fourth quarter on the low end of the range. The next statement there was meant to be a qualitative statement getting asked a significant amount of earnings per share increase that we have in front of us based on weather and on the other levers that we pulled. So the 50% to 100% is within that guidance range, but it was really more a qualitative statement to get at the magnitude of the earnings per share…
Mike Shlisky: Okay. And a follow-up on that later. Maybe 
Sarah Lauber: I guess maybe are you finding that Mike was just focused on the guidance range as we've typically provided $1.20 to $2.10. And as I mentioned in my script the larger assumption there being the 50% return to average that we will update in April and we're seeing it's trending in any different fashion.
Mike Shlisky: Okay. And then maybe just talking about more the long-term here. You've mentioned the past you can get an average snowfall year $3 a share that you're looking to get this can we see it sounds like which might be the next year at least, but that's what you're looking at. That's I that's what I last heard from you folks. I guess you could you comment is that viewpoint still valid? And then maybe secondly, the cost improving permanent that you've captured kind of rolling out here create another quarter or higher EPS and that was probably not perceived of your fresh issue that $3 guidance, so it more like $3.25 going forward? And then maybe lastly attachments would have to go up quite a bit from here in an average -- on an average snowfall scenario. I know you mentioned you know low to mid digit growth but would there really be a gap up here first if we see more normal snow and then you have to go from there to your long-term growth rate? It was my three questions about one of them but the more broader long-term view I'd appreciate it.
Bob McCormick: Got it. I don't know. Let me let me start and then I'll let I'll let Sarah finish. Obviously, we've been talking about $3 share targets for quite some time. Most recently over the past couple of years we've talked about $3 of EPS by 2025 that -- that journey is driven largely by in internal profit drivers which we've talked about quite a bit right? We took pretty conservative stances, Mike, on the external drivers, both snowfall and chassis supply, to reach those long-term targets. We're pleased to say, and we'll shout from the rooftops, we have delivered on our internal profit driver commitments, and we expect that to continue, okay? Now having said that, this profit model is always impacted by weather, right? In most environments, snowfalls up or down 5% to 10%. It doesn't really move the needle very much. Given what's happened over the last 1.5 years, right, the historic impact on earnings of weather has been over $1 of EPS. So it more than wipes out the gains from the internal profit drivers. Having said all that, as we find ourselves moving forward from today, we are laser focused on three things, right? We've repositioned the attachments business to support a multiyear return to normal demand levels, and when that occurs, as that occurs, you're going to see some nice gains. We have to continue to support the continued improvements within the Solutions group that Sarah's talked about. And then lastly, where I started, we are still laser focused on delivering our internal profit drivers. Now you put all those things together, and that will drive significant EPS improvements in 2024 and 2025, okay? That's where our attention is at this point. Sarah has reiterated that our long-term goals by segment really haven't changed. I'll give her a chance to add any additional comments you may want to provide.
Sarah Lauber : Yes. When I go back to your three questions, Mike, Bob just walked through, I guess, the journey and the fact that we're reaffirming where the segments land, which is the growth rate in Attachments of low- to mid-single digits and mid- to high-20s margin with the Solutions being at mid- to high-single digits and double digit to low teens margin. We absolutely see a path to those. The snow impact of being than $1 and the multiyear aspect is really more the assumption that we've had to make in the first year. And the Cost Savings Program absolutely is additive to where we were several years ago. That's, call it, $0.20 to $0.30 that we expect within our guidance this year. And we expect those to be permanent additions to our earnings as we move forward. So all of those things, I guess, well position us to get that significant earnings per share increase that we've been talking about. We're just not focused on the timing of the $3.
Mike Shlisky : Okay. Okay. I'll take my other questions offline. Thank you so much.
Bob McCormick: Thanks, Mike.
Operator: Thank you. The next question is from Robert Schultz with Baird. Please go ahead.
Robert Schultz: Hey, good morning. You guys talked about recovering about half of the weather-driven volume declines that you experienced in 2023. Maybe could you provide a little bit more context there and kind of the underlying assumptions you made to get to half?
Bob McCormick: Sure. Let me start and I'll let Sarah jump on. We've talked over the years, right? I mean, weather goes up and down, but one of the unique things about this weather business is we have enough history that when something happens, we can find two or three other data points historically where a similar thing has happened and therefore we know what happens next. We're not in that space right now, right? What's happened over the last 18 months has never happened before. So, there's not a lot of history to draw on. So, we're making more educated guesses and then tweaking those things up or down as the as the cycle show themselves. So Sarah, you want to add something to that. 
Sarah Lauber: And so our assumption and our guidance is based on the volume lost in attachments that we experienced in 2023. So, we are assuming that we get about half of that back. And then once April begins and we start to see preseason, we'll have more indications of that assumption. And so my plan is to update our guidance if we see that its materially different up or down from that point.
Q – Robert Schultz: Yes. Got it. Thanks. And then maybe on the solution side, on the guidance for next year, maybe how should we think about the contribution there between Dejana and Henderson.
Sarah Lauber: I'd say they're both improving equally. They're both on their journey to the targets that have been set out for the segment. And they both are making improvements, that I would say are relatively equal into my commentary for solutions in total.
Q – Robert Schultz: Awesome. And then just one more for me. What are you expecting for free cash flow this year and kind of what are the puts and takes?
Sarah Lauber: Yes. So when you when you look at the midpoint of the guidance for our EBITDA. I'll kind of walk you through the pieces, cash interest I would say, is around $15 million to $16 million and not too far from prior year and cash taxes we're expecting to be flat. And I mentioned our CapEx would be at the low end of our range of 2% to 3% of sales. And then the assumption on working capital, if you look at this year's working capital was greatly impacted by accounts payable timing. This year I would say -- and this year I would say more relatively flat working capital with us having opportunity to exceed that with the inventory reduction plans that we have in place.
Q – Robert Schultz: Awesome. Thanks. I'll leave it there.
Bob McCormick: Thanks, Rob
Operator: Thank you. The next question comes from Greg Burns with Sidoti & Company. Please go ahead.
Q – Greg Burns: Morning. You -- could you quantify what the impact on the UAW strike will be in the first quarter or what exactly the impact will be to you?
Sarah Lauber: Yes, we've incorporated it into our guidance. I will tell you Greg, it's a little bit hard to understand exactly what UAW impact is versus other supply chain movements. I would say, that we've estimated probably between $1.5 million to $3.5 million of EBITDA primarily in the first quarter. Yes.
Q – Greg Burns: Okay. Okay. And I just wanted to I guess understand the guidance a little better what the assumption is for the first quarter like, do you – are you expecting – what kind of end of the snow season are you expecting here in your outlook and what is factored in your guidance? Like, if we get no snow, does that we – or inclined to lower.
Sarah Lauber: So January snowfall was better than January last year. We had no show up on the East Coast and that was very good. We actually had a record January for parts and accessories and our attachment segment because of that – that snowfall. February, you can see how your window has not been significant from a snow standpoint and that's more heavily weighted for the snow season. So right now our assumption is that we have a below average snowfall that’s what inside our guidance for the year for the first quarter. When I think about first quarter results, we are expecting improvement over prior year in total, and I would say the snowfall that we saw in January. And that improvement helped us to work our way towards close to breakeven for the first quarter, which as you know is our seasonal lowest quarter of the year.
Greg Burns: Okay, great. And then when you consider M&A, are you looking to stay within your existing product categories or potentially maybe looking at a new – a new category maybe that's less weather dependent?
Bob McCormick: Yes, we certainly in the attachments acquisition strategy, we are targeting attachment products that are outside of traditional snow and ice control. And obviously, there's a host of reasons why. But one of them you just mentioned, right. We need to over the long-run further diversifies our earnings away from being so snow and ice control reliance. Most of the focus is upside of snow and ice.
Greg Burns: Okay, great. All right. Thank you.
Operator: Thank you. [Operator Instructions] Seeing no further questions. This concludes our Q&A session. I would like to hand the call back over to President, Bob McCormick for any closing remarks.
Bob McCormick: Thanks. Thank you for your time today. We appreciate your ongoing interest in Douglas Dynamics. Our company is built to manage through uncertainty. And while it's been tested of late, I think we have shown we are more than capable of making the necessary decisions, however difficult and then executing those plans. The long-term demand trends and outlook remain positive for all of our businesses. We are confident that as external headwinds subside, we will come back stronger, deliver improvements and reach our long-term goals. I'm excited about the future of Douglas Dynamics. Our best is still ahead of us. Thank you and have a terrific day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.